Executives: George Sharp - Director of Investor Relations Alan R. Mulally - Chief Executive Officer, President, Executive Director, Member of Long-Term Incentive Compensation Award Committee and Member of Finance Committee Lewis W. K. Booth - Chief Financial Officer, Executive Vice President of Premier Automotive Group, Executive Vice President, Director of Jaguar Brand, Non-Executive Director of Volvo Cars Division, Director of Land Volvo Brand and Director of Ford of Europe Michael L. Seneski - Chief Financial Officer of Ford Motor Credit Company
Analysts: Himanshu Patel - JP Morgan Chase & Co, Research Division Timothy J. Denoyer - Wolfe Trahan & Co. Joseph Spak - RBC Capital Markets, LLC, Research Division Peter Nesvold John Murphy - BofA Merrill Lynch, Research Division Adam Jonas - Morgan Stanley, Research Division Brian Arthur Johnson - Barclays Capital, Research Division Matthew T. Stover - Guggenheim Securities, LLC, Research Division Colin Langan - UBS Investment Bank, Research Division
Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter Ford Motor Co. Earnings Conference Call. My name is Katina, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. George Sharp, Director of Investor Relations and Executive Director. Please proceed.
George Sharp: Thank you, Katina, and good morning, ladies and gentlemen. Welcome to all of you who are joining us today either by phone or by webcast. On behalf of the entire Ford management team, I'd like to thank you for spending time with us this morning, so we can provide you with additional details of our fourth quarter and full year 2001 (sic) [ 2011] financial results. Presenting today are Alan Mulally, President and CEO of Ford Motor Co.; and Lewis Booth, Chief Financial Officer. Also in attendance are Bob Shanks, Corporate Controller; Neil Schloss, Corporate Treasurer; Paul Andonian, Director of Accounting; and Mike Seneski, Ford Credit CFO.  Before we begin, I'd like to cover a few items. Copies of today's -- this morning's press release and the presentation slides that we'll be using today have been posted on Ford's investor and media website for your reference. The financial results discussed today are presented on a preliminary basis. Final data will be included in our Form 10-K that will be filed next month. The financial results are presented on a GAAP basis and, in some cases, on a non-GAAP basis. The non-GAAP financial measures discussed in this call are reconciled to the U.S. GAAP equivalent as part of the appendix to the slide deck. Finally, today's presentation includes some forward-looking statements about our expectations for Ford's future performance. Of course, actual results could differ materially from those suggested by our comments today. The most significant factors that could affect future results are summarized at the end of this presentation. These risk factors and other key information are detailed in our SEC filings, including our annual, quarterly and current reports. With that, I'd now like to turn the presentation over to Ford's President and CEO, Mr. Alan Mulally.
Alan R. Mulally: Thank you, George, and good morning to everyone. We are pleased to have the opportunity today to review our fourth quarter and full year business performance and the progress we continue to make in delivering our plan. We also will share with you this morning our major assumptions and key metrics for 2012.  Let's start by turning to Slide 3. Our fourth quarter results reflect higher volume and net revenue, the 10th consecutive quarterly pretax operating profit and positive Automotive operating-related cash flow. In the quarter, North America drove our Automotive profitability with strong performance. However, since the third quarter earnings call, the deteriorating external environment impacted most of our Automotive operations outside of North America. In addition, commodity costs, exchange rates and the floods in Thailand all had a greater-than-expected adverse impact. As a result, our margins were somewhat lower than the guidance we provided in October.  In 2011, we improved total company pretax operating profit and improved Automotive operating-related cash flow, enabling us to further strengthen our balance sheet. In addition, Ford Credit continued to perform strongly, providing significant contribution to our overall profit, consistent with our guidance.  During the quarter and throughout the year, we continued to invest for future growth in a stronger product lineup around the world. Turning to 2012, we expect to continue improving our business and delivering solid profits and strong Automotive operating-related cash flow while working to strengthen our operations in Europe and South America and continue to grow. We believe our 2011 performance, as well as our guidance for 2012, confirm that we are well on track to achieve the mid-decade outlook we provided in the middle of last year.  Let's look more closely now at the financial highlights for the quarter and full year 2011. Slide 4 summarizes our fourth quarter and full year business results compared with a year ago. In the fourth quarter, vehicle wholesales were 1.4 million units, up 38,000 units or 3% from 2010. Revenue was about $35 billion, an increase of about $2 billion or 6%. Pretax operating profit, excluding special items, was $1.1 billion, $189 million lower than a year ago. Earnings were $0.20 per share. Net income attributable to Ford was $13.6 billion. This includes a favorable special item in our taxes totaling $12.4 billion, reflecting the release of almost all of the valuation allowance against our net deferred tax assets. We also had a favorable pretax special items of $349 million. Earnings were $3.40 per share. Automotive operating-related cash flow was $700 million, the seventh consecutive quarter of positive performance. In the full year compared with the year ago, vehicle wholesales increased by 7% and revenue improved by 13%.  Full year pretax operating profit, excluding special items, was $8.8 billion, a $463 million improvement, and income attributable to Ford was $20.2 billion, $13.7 billion higher than a year ago, reflecting mainly the tax valuation allowance release. Operating-related cash flow was $5.6 billion for the year. We ended 2011 with $22.9 billion of Automotive gross cash and with Automotive gross cash exceeding debt by $9.8 billion. This is a net cash improvement of $8.4 billion compared with a year ago and $1.7 billion higher than the third quarter. Despite a challenging external environment, we had a good fourth quarter and a strong full year, reflecting the strength of our business and our ONE Ford plan.  Slide 5 recaps our key highlights in the fourth quarter, as well as some of the many things we accomplished throughout 2011 as we executed our ONE Ford plan. We continued to introduce strong products in the fourth quarter, launching the new global Ranger and 1.0-liter, 3-cylinder EcoBoost engine. We also debuted the all-new Ford Escape.  2011 was our third straight year of higher U.S. market share. Ford brand market share also increased by 3 points over the same period. We finished 2011 with higher share in Asia-Pacific and Africa. And in Europe, we have reported 3 consecutive quarters of year-over-year market share gain.  In October, we reached a new full year agreement with UAW that improves our U.S. competitiveness. We announced 2011 profitsharing for eligible hourly workers, and in December, we announced that we will resume paying a quarterly dividend.  Included in our 2011 results, we now have 2 consecutive years of more than $8 billion in pretax operating profit, as well as 3 consecutive years of improved annual operating profit. We reduced Automotive debt by $6 billion and increased our Automotive cash net of debt to $9.8 billion by year end.  Finally, we continued our aggressive growth plans by breaking ground on 4 new assembly and powertrain plants in Asia-Pacific and Africa and by launching our new FordSollers joint venture in Russia.  Now I'd like to turn it over to Lewis, who will provide more details of our fourth quarter and full year financial results. Lewis?
Lewis W. K. Booth: Thanks, Alan. Let's start with Slide 7, which shows our financial results compared to the year ago. Since Alan already summarized the results, I'll focus on onetime special items included in our results.  Pretax special items in the fourth quarter were a positive $349 million. This includes a $401 million gain related to the sale of our Russian operations to the newly created FordSollers joint venture, which began operations on October 1. Within our benefit from income taxes, there was a favorable onetime noncash special item of $12.4 billion related to the release of almost all of the valuation allowance against our net deferred tax assets. Given the magnitude of the impact related to the release of the valuation allowance, let me provide some additional insights on the next slide.  In Slide 8, we began to record a valuation allowance against net deferred tax assets in 2006, reflecting large cumulative losses incurred, as well as our financial outlook at the time. Consistent delivery over the past few years of strong improvements in our business results now supports the release of almost all of the valuation allowance, resulting in the favorable onetime noncash special item of $12.4 billion in the fourth quarter, improving both after-tax profit and equity.  Going forward, this change is expected to result in ongoing operating tax rates of about 30%, although our cash tax payments will not be affected, remaining at low levels for a number of years. To allow for appropriate future period-to-period comparisons of our non-GAAP operating after-tax results and earnings per share, we now are expressing our 2011 quarterly and full year tax expense as if the valuation allowance had not existed as of the start of the year. This does not, however, affect results reported in line with U.S. GAAP. Please refer to the appendix for details.  While this action is a matter of following accounting guidance, it also is a significant milestone in our restructuring, underscoring the steady and sustained progress in our turnaround. It's also a strong indication of the confidence we have in our future results.  So let's now turn to Slide 9, where we look at our pretax results by sector. Total company fourth quarter pretax profits of $1.1 billion reflects positive contributions from our Automotive and Financial Services sectors. As shown in the memo, total company pretax operating profit decreased by $189 million compared to 2010. Compared to the third quarter 2011, total company pretax profit also declined. Total company full year pretax profit of $8.8 billion reflects strong results from both sectors. And compared to last year, total company improved, driven by $1 billion improvement in the Automotive sector and Financial Services delivering strong results, although lower than last year, in line with our guidance.  Slide 10 highlights the key market factors and financial metrics for our total Automotive business. Fourth quarter wholesale volume and revenue both increased compared with the year-ago period, but pretax operating profit at $586 million decreased by $155 million. Operating margin was 2.2%, down 0.8 percentage point from a year ago, and this includes an adverse effect of 1.9 points from higher commodity costs, including the hedging losses.  Full year wholesale volume, revenue and pretax operating profit were higher than the year-ago period, but operating margin at 5.4% was down 0.7 point. Higher commodity costs reduced our margin by 1.8 points.  Slide 11 summarizes the decrease in total Automotive fourth quarter pretax profits compared with 2010 by causal factor. We had strong performance in market factors. That is volume, mix and net pricing.  We're actually improving $1.8 billion despite production losses in Asia-Pacific and Africa due to the Thailand floods. This is more than offset by higher costs, which included commodity costs across all regions; our contingent compensation costs, such as the onetime ratification bonuses and profitsharing in North America related to the UAW agreement as previously disclosed; and unfavorable exchange.  Slide 12 summarizes the $700 million decrease in fourth quarter total Automotive pretax profit compared to the third quarter by causal factor. Market factors were positive, driven by favorable volume and mix, mainly favorable dealer stock changes in North America, while stock levels across the globe are at an appropriate level, consistent with our practice in matching supply with demand. This was more than offset by a normal seasonal increase in structural costs and the higher compensation cost in North America.  Slide 13 shows fourth quarter pretax results for each of our Automotive operations, as well as Other Automotive. Our Automotive pretax operating profit of $586 million was led by our North American operation, with South America also reporting a profit. Europe and Asia-Pacific and Africa incurred losses. The loss in Other Automotive of $138 million reflected mainly net interest expense.  Slide 14 summarizes the $1 billion improvement in total Automotive full year pretax profits compared with 2010 by causal factor. The profit improvement was driven by strong performance in market factors and lower net interest expense, offset partially by higher costs, high compensation cost in North America and unfavorable exchange. Within the increase in contribution cost of $4.2 billion, $2.3 billion, or about 55%, is attributable to higher commodity costs. Structural costs increased by $1.4 billion, which is lower than prior guidance, as we continue to identify and achieve efficiency. These cost increases include the effect of higher volumes, new product launches and investments to support our future product capacity and brand building plans.  Slide 15 shows full year pretax results for each of our Automotive operations, as well as Other Automotive. Total Automotive pretax profit of $6.3 billion was led by a $6.2 billion profit from our North American operation. South America earned a solid profit, while Europe was about breakeven and carrying a small loss, driven by the economic uncertainty in the region. Asia-Pacific and Africa incurred a loss as well, more than explained by the impact of the Japan and Thailand natural disasters. The loss in Other Automotive reflects net interest expense and fair market valuation adjustments, mainly for our investments in Mazda.  In 2012, we expect net interest to be about the same as 2011. While interest expense will be reduced through our debt reductions, the effect of lower interest rates will lower interest income.  Turning now on Slide 16 to our Automotive business in North America. Fourth quarter wholesale volume and revenue increased compared with the year ago, improving 13% and 14%, respectively. Pretax operating profit and margin improved despite an adverse impact on the operating margin of 2 percentage points due to higher commodity costs. U.S. industry SAAR increased compared with the year ago, but our U.S. total market share declined by 0.1 percentage point. Full year wholesale volume, revenue and pretax profits were higher than in 2010. Operating margin declined 0.1 percentage point. This includes the adverse impact of 2 points due to higher commodity costs.  Slide 17 shows the $200 million improvement in fourth quarter North America pretax results compared with 2010 by causal factor. Market factors improved compared with last year by $1.6 billion, including a favorable stock adjustment of $500 million. Total costs increased by $1 billion, mostly explained by higher commodity, warranty and freight costs. Other includes higher compensation costs, such as the onetime ratification bonuses and profitsharing related to the UAW agreement, as previously discussed. As shown in the memo, pretax profit decreased by $700 million compared with the third quarter, reflecting normal seasonal increases in structural cost, higher compensation cost and increased warranty cost. Favorable volume mix is a partial offset.  As we look ahead to this year, we expect North America to continue to be the core of our Automotive operations, with improved profitability for full year 2012 compared with 2011.  Slide 18 shows our U.S. market share. U.S. total market share in the fourth quarter of 16.3% was down 0.1 percentage point compared with the same period last year but equal to the third quarter. Our retail share of the U.S. retail industry in the fourth quarter, estimated at 14.2%, is up 0.1 point from a year ago, and our share was unchanged from the third quarter. In the full year, our U.S. total market share improved by 0.1 point, with the Ford brand improvements of 0.8 percentage point more than offsetting the discontinuation of Mercury. Our U.S. retail share of the retail industry was unchanged.  Now let's turn to South America on Slide 19. Fourth quarter wholesale volume declined 13% compared with a year ago, while revenue was unchanged. Pretax and operating margin both declined. South American industry SAAR and Ford share both were lower than a year ago, with the share decline due to increased competitive pressures. Full year wholesale volume and revenue increased compared with a year ago. Pretax profits and operating margins declined.  Slide 20 shows a $173 million decrease in fourth quarter South American pretax results compared with 2010 by causal factor. The lower profit is explained primarily by unfavorable exchange and higher costs and essentially all of the total cost increase driven by higher commodity cost. And as shown in the memo, pretax profit decreased by $168 million compared with the third quarter, reflecting mainly unfavorable exchange and higher structural costs.  Looking ahead, the competition in South America is intensifying, with substantial capacity increase planned by a number of companies and new entrants. Against this background, we expect our South American operation to continue to generate solid profitability for 2012, although somewhat lower than 2011. We are continuing to work on actions to strengthen our competitiveness in the changing environment. These actions include fully leveraging our ONE Ford plan, including the introduction of an all-new lineup of global products over the next 2 years, starting in the second half of 2012.  Slide 21 covers Ford of Europe. Fourth quarter wholesale volume declined 2%, while revenue increased slightly compared with a year ago. The pretax loss and operating margin were lower than a year ago. Industry SAAR for the 19 markets we track was lower, while our fourth quarter market share improved 0.3 point, primarily driven by C-MAX. Full year wholesale volume improved slightly compared with a year ago, while revenue increased by about 15%. Both pretax profit and operating margin declined, with higher commodity costs contributing a negative 1.5 points to the European full year margin.  Slide 22 shows the $139 million decline in fourth quarter Europe pretax results compared with 2010 by causal factor. In a difficult external environment, market factors include -- sorry, in a difficult external environment, market factors, including net pricing, were favorable compared with the same period in 2010. Contribution cost increased by $225 million, approximately half of which is due to commodity costs, and this was offset partially by structural cost improvements. Other reflects continued investments in our Craiova facility in preparation for the production volume ramp-up in 2012, as well as lower joint venture profits.  As shown in the memo, fourth quarter pretax results improved $116 million compared to the third quarter, driven mainly by favorable volume and mix. The external environment in Europe is uncertain and is likely to remain so for some time. Given the challenges in Europe, we will continue to review, take and accelerate actions to strengthen and improve our business. This will include the full leveraging of ONE Ford plan in our global resources.  And now, let's turn to Asia-Pacific and Africa on Slide 23. All the fourth quarter key metrics were impacted adversely by the Thailand flooding. Asia-Pacific and Africa's industry SAAR was lower than a year ago, more than explained by China, and our fourth quarter market share was unchanged.  Full year wholesale volume and revenue increased, but we incurred a pretax loss compared with a profit a year ago, and a lower operating margin.  Slide 24 shows a $106 million decrease in fourth quarter Asia-Pacific and Africa pretax results compared to 2010 by causal factor. Pretax profit declined due to the impact of the Thailand flooding, primarily reflected in volume and mix, as well as higher costs associated with new products and our investments for future growth. Higher net pricing is a partial offset.  As shown in the memo, Asia-Pacific and Africa's pretax results were lower compared with the third quarter, more than explained by lower costs -- by higher costs. We expect Asia-Pacific and Africa to grow volume and be profitable for 2012, even as we continue to invest in additional capacity and our product lineup for an even stronger future, in line with the implementation of our ONE Ford plan.  Slide 25 covers 2011 fourth quarter and 2012 first quarter production. 2011 fourth quarter total company production was about 1.4 million units, up 20,000 units from a year ago and 60,000 units lower than our most recent guidance. The decrease reflects lower demand for commercial vehicles in China and the impact of Thailand flooding. We estimate the production impact of the Thailand flooding was about 34,000 units, about 4,000 units higher than we assumed in our fourth quarter guidance. We expect first quarter total company production to be about 1.4 million units, down 51,000 units from a year ago. This reflects lower industry demand in Europe and the launch-related effects of new products in Asia-Pacific and Africa. This outlook is consistent with our disciplined strategy to match our production with consumer demand. And compared with the fourth quarter, first quarter production will be up 32,000 units.  Turning now to Slide 26, on our Automotive gross cash and operating-related cash flow. We ended the quarter with $22.9 billion in Automotive gross cash, an increase of $2.1 billion from the end of the third quarter.  Automotive operating-related cash flow was $700 million. Our cash flow before changes in debt and pension contributions was $1.9 billion, including receipts from Financial Services of $1.3 billion. Net debt inflows in the quarter totaled $300 million, reflecting primarily an increase in low-cost loans for the development of advanced technologies. We made payment of $100 million to non U.S.-funded pension plans. Full year Automotive operating-related cash flow was $5.6 billion, and cash flow before changes in debt and pension contributions totaled $9.3 billion. For 2012, we expect strong positive Automotive operating-related cash flow.  Slide 27 summarizes our Automotive sector cash and debt position at the end of the fourth quarter. Automotive debt was $13.1 billion at the end of the year. We continue to make significant progress in improving our balance sheet, and we ended the year with net cash of $9.8 billion, an improvement of $8.4 billion compared with the end of 2010. And Automotive liquidity is now more than $32 billion.  Turning now to Ford Credit. Slide 28 shows the $66 million decrease in fourth quarter pretax results compared with a year ago by causal factor. In line with our expectations, the results are more than explained by fewer leases being terminated, which results in fewer vehicles sold at a gain, offset partially by Other, reflecting primarily foreign currency translation adjustments related to the discontinuation of financing in Australia.  As shown in the memo, Ford Credit's pretax profit decreased by $75 million compared to the third quarter, more than explained by the same lease factor just mentioned.  And Slide 29 provides an explanation of the change in Ford Credit full year results compared with 2010 by causal factor. Ford Credit reported full year pretax profits of $2.4 billion, a $650 million decrease. The decline reflects fewer leases being terminated, which resulted in fewer vehicles sold at a gain, as well as lower credit loss reserve reductions. Ford Credit paid distributions of $3 billion to its parent during 2011.  For full year 2012, we expect Ford Credit to be solidly profitable but at a lower level than 2011, reflecting primarily the same factors just mentioned. The pretax profit contribution related to the lease and credit loss reserve factors was about $800 million favorable in 2011, and these factors are expected to be minimal in 2012.  In addition, Ford Credit expects to pay distributions of between $500 million and $1 billion. At year-end 2012, we expect managed receivables to be in the range of $85 billion to $95 billion.  And Slide 30 covers Ford Credit's liquidity and funding. The left box shows committed liquidity programs, cash and the utilization of Ford Credit's liquidity sources at the end of the fourth quarter. Ford Credit's available liquidity was about $17 billion.  As shown in the right box, Ford Credit completed $35 billion of full year funding despite volatile market conditions. Our funding strategy remains focused on diversification, and we plan to continue accessing a variety of markets, channels and investors. Our liquidity remains strong. We will continue to maintain cash balances, funding programs and committed capacity to ensure we have strong liquidity to reach our business and funding requirements. And at the end of the fourth quarter, Ford Credit's managed leverage was 8.3:1 and equity was $8.9 billion.  Slide 31 provides an update to our pension plans. Worldwide pension expense in 2011, excluding special items, was $900 million, $300 million higher than 2010. In 2011, we made $1.1 billion in cash contributions to our worldwide funded pension plans, up $100 million compared with a year ago. And worldwide, our pension plans were underfunded by $15.4 billion at 2011 year end, a deterioration of $3.9 billion compared with a year ago. This primarily reflects sharply lower discount rates.  At the end of 2011, our projected long-term return on assets assumption for the U.S. is 7.5% at our present asset mix, down 50 basis points from a year ago.  Slide 32 provides background on our long-term strategy to de-risk our funded pension plans. This will reduce our balance sheet and cash flow volatility and, in turn, improve the risk profile of the company.  Key elements of the strategy include limiting liability growth in our funded plans by closing participation to new entrants, reducing planned deficits through discretionary cash contributions and progressively rebalancing assets to more fixed-income investments. This will provide a better matching of plan assets to the characteristics of the liabilities, which will reduce our net exposure. And finally, other strategic actions under development, which we will share with you at a later date as appropriate. As part of our long-term de-risking strategy, 2012 cash contributions to funded plans are expected to be about $3.5 billion globally compared to $1.1 billion in 2011. 2012 includes discretionary contributions to our U.S. plan of about $2 billion. As we've said previously, based on our present planning assumptions for long-term asset returns, a normalization of discount rates and planned cash contributions, we expect to have global pension obligations in total to be fully funded over the next few years, with variability on a plan-by-plan basis.  And now, Alan will cover the business environment, our key metrics for 2011 and our key planning assumptions for 2012.
Alan R. Mulally: Thank you, Lewis. Slide 34 provides an overview of the business environment. Overall, we expect global growth to continue at a 3% pace during 2012. Economic growth in the U.S. is expected to be in the range of 2% to 3%. Growth in Europe, however, remains very challenging. We expect weak conditions in Europe, with some markets doing better than others while fiscal austerity programs are implemented. Several key emerging markets, including China, Brazil, India, Indonesia, Thailand and Turkey have entered cycles of policy easing to support economic growth. Despite recent declines in commodity prices, we expect them to increase modestly in 2012. Longer-term, we expect prices to continue to trend upwards, given global demand growth.  Overall, we assess the global business environment for automotive industry growth to be favorable in 2012, with sales projected to be about 80 million units, up from 76 million units in 2011. In light of the volatile external environment, however, 2012 sales could range from 75 million to 85 million units.  Slide 35 summarizes 2011 results for our planning assumptions and key metrics compared with the plan we shared at the beginning of the year. Overall, we achieved solid results across the business in 2011, meeting or exceeding our plan in most instances. Importantly, we delivered improved total company pretax operating profit and Automotive operating-related cash flow compared to 2010.  U.S. and Europe industry sales were in line with our expectations, and we met or exceeded our share targets for the United States. Both structural and commodity costs increased in 2011, as we had expected. Capital spending was less than we projected due mainly to efficiency. Shortfalls to our plan occurred in quality in the U.S. and with our Automotive operating margin. We believe we have the quality issues well in hand and are back on track to deliver quality levels that are among the best in the business.  Our operating margin shortfall can be more than explained by higher commodity costs which, we noted earlier, reduced our margin by nearly 2 percentage points. In summary, 2011 was a strong year and kept us well on track to our mid-decade outlook.  Now let's turn to 2012 on Slide 36. Our entire organization is energized as we enter 2012, keenly aware of the challenges but also the opportunities we face in the current environment. While the uncertainties surrounding the European debt crisis and its impact on the global economy presents a challenge for everyone, our strong product portfolio and this prospect of global economic growth offer opportunities for our business going forward. Although we will keep a close eye on economic environment throughout the year, we are sharing key current planning assumptions as follows: We expect full year industry volume to range from 13.5 million to 14.5 million units in the U.S. and from 14 million to 15 million units in Europe. We project full year market share in the U.S. and Europe to be about equal compared to 2011. For quality, we expect to deliver year-over-year improvement.  Compared with 2011, we expect our 2012 financial performance to reflect the following: Automotive pretax operating profit to improve; Ford Credit to be solidly profitable, although at a lower level due primarily to the factors mentioned previously; total company pretax operating profit, excluding special items, to be about equal; Automotive structural costs to increase by less than $2 billion as we support higher volumes, new product launches and our growth plans; and Automotive operating margin to improve. For 2012, we expect capital spending to be $5.5 billion to $6 billion. Although not shown in the table, we are expecting nonmaterial increase in commodity costs for 2012.  Overall, we expect 2012 to be a solid year for the Ford Motor Co., consistent with our glide path to our mid-decade guidance. We're off to a good start with the overwhelmingly positive reactions to recently introduced global products, including the all-new Fusion at the Detroit auto show, the all-new EcoSport at the Delhi auto show and the all-new Escape in Los Angeles.  Finally, Slide 37 summarizes our ONE Ford plan. Clearly, we remain focused on delivering this plan, which is unchanged. Our track record for making continued progress in delivering great products, investing for global growth, building a strong business and providing profitable growth for all Ford stakeholders is evident in our results.  What especially excites all of us in Ford is the knowledge of what lies ahead, knowing that by building on what we have accomplished so far, the majority of the benefits that we will ultimately deliver from leveraging our global scale are yet to come. We recognize that we have both challenges and opportunities ahead. Chief among our tasks is the acceleration -- accelerating the realization of full potential of the global scale and operating margin benefits inherent in our ONE Ford plan. This task includes improving even further our already strong operation in North America; strengthening and growing our profitable South American operation in the face of increasing competition in the region; ensuring that our European operation remains on track to deliver sustainable and appropriate returns in an uncertain environment; achieving strong growth and profit contribution from Asia-Pacific and Africa; and continuing the strong performance of our strategic asset, Ford Credit.  We will continue our laser-like focus on strengthening the Ford brand around the world and continue the journey of making Lincoln a world-class luxury brand. Thanks to the strong performance in 2011 and our plan for continued strong performance this year, we are going further to achieve the full potential of our ONE Ford plan, including the achievement of our mid-decade outlook. Now we'd be pleased to take your questions.
George Sharp: Thanks, Alan. Now we'll open the lines for about a 45-minute Q&A session. We'll begin with questions from the investment community then take questions from the media. [Operator Instructions] Katina, can we have the first question?
Operator: [Operator Instructions] Your first question comes from the line of Himanshu Patel, representing JPMorgan.
Himanshu Patel - JP Morgan Chase & Co, Research Division: I wanted to just delve into Europe a little bit. You guys, particularly you, Lewis, have been speaking very cautiously on the market for about 6 months now. But your 2012 volume guidance says it's down but not that much, sort of mid-single-digit volume decline. You've posted 2 quarters in a row of net pricing growth in Europe year-over-year, and I think even sequentially in the fourth quarter, it was sort of flattish. So I'm just curious, what are you sort of seeing prospectively to sort of cause the caution? And is it really sort of just the general macro kind of hedged comment that you're making, that volumes haven't fallen yet but you sort of expect them to? Or is it something you're seeing prospectively on net pricing that maybe is just not evident so far in the data in the last couple of quarters?
Lewis W. K. Booth: Okay. Let me try and frame this. I think, for the obvious external reasons, we remain cautious about the economic development of Europe. Very different by country: some countries well in recession; some countries perhaps on the verge of recession; and 1 or 2 countries continue to do okay. We haven't seen dramatic volume drops, although we have seen incentive spending increase. Encouragingly for the Ford team, we've seen, as you said, net pricing improvements. We've achieved positive pricing that more than offset the increased incentive spending. So I think our overall caution is around the customers' concern about the economic environment. And it's hard, just where we stand at the moment, Himanshu, to say is it going to show in volume or is it going to -- with volumes coming off a bit more. Or is it going to show in incentive activities, with incentive spending going up a little bit, because as you know, we've been restructuring the European business, really, for over a decade. But there's still -- most of our competitors have tremendous amount of open capacity, which results in some incentive activity levels that isn't great for the business.
Alan R. Mulally: Himanshu, I might just add to Lewis' comments that we have been continuing to restructure Europe over the years, and we are at about 93% utilization of our capability. And in addition to that, it was really important on our ONE Ford plan to accelerate the development of the new products that we believe the European customers want and value. And also, in 2012, we'll be launching 10 new or significantly refreshed vehicles, including the all-new Ranger, the B-MAX and the Kuga. So I think both on the revenue side, in addition to our continuing matching the real production -- our production to the real demand, that we have opportunities both on the revenue side and the production side.
Himanshu Patel - JP Morgan Chase & Co, Research Division: Would you guys expect Europe to be loss-making this year?
Lewis W. K. Booth: It's too early for us to give you a clear view of that. I think, as you think about the Automotive business, we're guiding the total Automotive, we expect to be up year-over-year. But we're not giving a guidance on Europe for the moment.
Himanshu Patel - JP Morgan Chase & Co, Research Division: Okay. If I could sneak in one more on Europe, a lot of the U.S. banks are very happy with automotive lending. It clearly seems like an asset class where they're comfortable, coming out of the Lehman recession. What is sort of the outlook on European consumer credit availability, particularly as it pertains to vehicle financing, not just for Ford Motor Credit, but what you're kind of seeing out of the banks out there?
Michael L. Seneski: Yes, Himanshu, it's Mike Seneski. At this stage, actually, we have seen a pretty stable environment for consumer credit. We have not yet seen any follow-on impacts. And the banks have indicated that there will be some slowdown in lending, but to this stage, we have not seen anything.
Operator: The next question comes from the line of Tim Denoyer, representing Wolfe Trahan.
Timothy J. Denoyer - Wolfe Trahan & Co.: Quick one on medium- and heavy truck in Brazil, if I could. Can you give us a sense of how orders have been coming in? I would guess the backlogs there are a quarter or 2, and it just seems like expectations are ranging pretty widely from down materially to up a little bit. It seems to be clear there were some prebuys in 2011 ahead of the Euro 5 emission standards that went into effect.
Alan R. Mulally: Yes, exactly, we're ahead of plan. The new vehicle has been very well received and very, very competitive.
Timothy J. Denoyer - Wolfe Trahan & Co.: Do you have a sense if orders are stepping down in the first quarter of 2012 and how you expect that to go through the year?
Alan R. Mulally: We think relatively flat.
Timothy J. Denoyer - Wolfe Trahan & Co.: Okay. And then secondly, on Slide 34, I was wondering, the 80-million-unit global industry production forecast, how does that compare to 2011?
Lewis W. K. Booth: 2011 came in at close to 77 million. So it was like 76.8 million or 76.9 million or so. Global industry tends to carry on counting for a few weeks after the end of the year, so it's moving up towards 77 million.
Timothy J. Denoyer - Wolfe Trahan & Co.: Okay. And then just one little detail on the less than $2 billion automotive structural cost increase guidance for 2012. Can you give us a little -- how much more below $2 billion it might be?
Lewis W. K. Booth: No. The guidance is less than $2 billion. You're seeing an increase in structural costs associated with our growth plans, both in continued investment in new capacity around the world, continued investments in new products around the world and then continued efforts by Jim Farley and the team to get the message out through advertising and sales promotion to continue to improve the brand around the world. So it's really associated with the growth of the business.
Operator: Your next question comes from the line of Joseph Spak, representing RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Maybe just a couple of quick ones on North America. Given that a good portion of your North America production is brand-new, what's the outlook for net pricing? You've been able to make good progress, but the comps do get a little bit tougher, so maybe just a little bit color on that.
Lewis W. K. Booth: Well, as we said, I think several quarters in a row, we expect to see continued improvements in net pricing -- but slowing down. I think, slowing down for a couple of reasons. One, as you said, the comps are more challenging. But really, the plan around the North American recovery was to have low-cost products and to achieve competitive transaction prices, and we are closing the gap with the best of the competition. So there's less gap to close as we continue going through our new product launches. But the other key to the North American plan is to keep products fresh. And I think you could -- if you were at the Detroit show, you could see the real efforts going on to continue to have really fresh products, not just in North America but around the world. And that's the underlying -- that's what ONE Ford is about: great products, fresh around the world, earning competitive transaction prices with competitive cost because of the scale we can generate.
Joseph Spak - RBC Capital Markets, LLC, Research Division: And then maybe just some color. Last year, you sort of gave the outlook for retail share in the U.S. equal to improved. Maybe some color on what you expect in 2012. And then similarly, strong operating-related cash flow. Will it be higher than 2011, in line or maybe a little low?
Lewis W. K. Booth: Let me talk about the operating-related cash flow first. Yes, we do expect it to be stronger. I think if you think about it as probably comparable with this year but adjusted for the increased CapEx we're expecting. We're guiding to more than $1 billion of incremental CapEx this year, so if you think about it as comparable, adjusted for the CapEx levels. We're not giving out specific details of retail and retail share. We think we're talking about total share being equal or slightly improved.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And if I could just do one quick one, you mentioned in Ford Credit, I think you said you still had a benefit of -- or either $800 million from the lease and credit loss this year -- even though I think on a year-over-year, it was a headwind. But I understand that's coming down. But is that to imply that 2012 will be roughly about $800 million lower than '11?
Lewis W. K. Booth: Well, that's one of the major factors of our outlook for Ford Credit being lower in 2012 than 2011. We've been guiding for some quarters the very favorable factors associated with very strong residual values on the vehicles being returned from lease and astonishingly good performance by our book, with our customers really paying for their vehicles. We did expect those to be tailing off in the period. We're now at record low credit loss reserve, so there's no more credit loss reserve to release. In fact, as our receivables start to grow, as we've guided, you can expect us to actually increase our credit loss reserves a little. So yes, those are the significant parts of the year-over-year reduction.
Operator: Your next question comes from the line of Peter Nesvold, representing Jefferies.
Peter Nesvold: I'll be very brief. So one of the things that jumped out from the outlook was that material costs are not expected to be significant in 2012. Was that a function of your hedging programs, or are you seeing some other relief there that gives you more optimism there for 2012?
Lewis W. K. Booth: We saw commodity cost come off a bit in the fourth quarter, and we're seeing that sort of levels in the first quarter. But we do expect commodity cost to be up a little bit year-over-year. But if you think on a year-over-year comparison, we'll have -- got the benefit of hedging, we've got the non-repeat of hedging losses that we saw in 2011, and we've got some modest commodity cost increases. But net, we don't expect it to be material.
Operator: Your next question comes from the line of John Murphy, representing Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: I'll just keep it to 2 questions. First, how much lending is Ford Motor Credit doing in Europe as a percent of your total sales? Is that in the ballpark of 30% to 40% like we'd see in North America, or is it a lot lower or higher?
Lewis W. K. Booth: It's lower. If you separate out between wholesale and retail, it's stronger on wholesale -- most of our deals are financed through Ford Credit, and a bit lower on retail.
Alan R. Mulally: If you look in Appendix 17, John, it gives you a breakdown of our receivables by our North America and international.
John Murphy - BofA Merrill Lynch, Research Division: Great. And you feel like you could probably step in there and support the business like you did in North America in '08 and '09?
Lewis W. K. Booth: Yes. I mean, I think you can watch our behavior. We'll keep the credit company well funded. It's an important asset both here and in Europe, and we're not going to deflect from that plan. And we're comfortable that we can do that. Just one other observation about Ford Credit because I was describing the year-over-year reduction. I think we can expect to see a bit of pressure on margins because we are moving some of our borrowing towards unsecured. So we can see -- as well as the factors we've been talking about, I think you can see a bit of pressure on margins because of that.
John Murphy - BofA Merrill Lynch, Research Division: Okay. And then just a second question, Alan, for you. As you look at your, sort of your midterm targets, I mean, you're basically talking about global Auto op pretax margins 8% to 9%. We're roughly running about 300 to 400 basis points below that currently. I mean, if we were to see the market somehow all of a sudden shoot up to those midterm targets on volumes or sort of mid-trend levels in North America and Europe, do you think you would get there just by the cycle and volumes recovering? Or are there other steps internally at Ford that you think you need to take to make some significant changes to get there? I'm trying to understand what's internal and what's just returning to trend volumes.
Alan R. Mulally: I would put both of those in there, John, because clearly, the expansion in the world economy and the industry is a plus, but also the power of capturing the value of the ONE Ford plan, as we've talked about. And we -- as we've talked about, we are just on the beginning of being able to capture that value because as we move to our global platforms and our aligned business framework with our suppliers worldwide over the next 2 or 3 years, we're going to have -- nearly 85% of our volume is going to be on these 9 platforms. And as we continue to implement this across the product line, we'll continue to reap the benefits and the value of that. So I'd say I'd have both of those in there.
John Murphy - BofA Merrill Lynch, Research Division: So I mean, to try to characterize that, would that be 1/3 pricing, 1/3 volume and 1/3 cost, roughly? Or is that parsing it too fine?
Alan R. Mulally: I think that's a little bit too fine. But to your point, we're clearly -- as we talked about a little bit earlier, we're clearly seeing us closing the gap on the value of the products, based on the quality and the features and the fuel efficiency and the smart-design features. People really are valuing the Ford product line, so I think we'll continue to stay competitive that way. We'll see the volume increase, and then we'll see continuing year-after-year increase in the productivity, including the investment efficiency because of the ONE Ford global platforms also.
Operator: Your next question comes from the line of Adam Jonas, representing Morgan Stanley.
Adam Jonas - Morgan Stanley, Research Division: Lewis, so any comment on preregistration activity in Europe? We hear it's running as high as 20% in recent weeks.
Lewis W. K. Booth: No, it varies by manufacturer. It varies quite significantly by country. We'll stick to our process of not chasing marginal business.
Adam Jonas - Morgan Stanley, Research Division: But are you seeing a pickup from the competition?
Lewis W. K. Booth: We're seeing -- yes, we've seen tick-ups, particularly right at the month end.
Adam Jonas - Morgan Stanley, Research Division: Okay. That's the way it usually works. Mike, a question for you. You mentioned that the credit loss is still at historic lows, and I think even improving quarter-on-quarter -- at least, they were 3Q. If you really were pressed to look anywhere for a sign of weakness in terms of credit quality, not the availability -- you said to Himanshu's question that was pretty stable, where are you seeing it start to crack? Or anywhere?
Michael L. Seneski: We're not. I mean, you'll see in the fixed income call our input FICOs look good. The credit quality of the portfolio looks good.
Lewis W. K. Booth: Adam, we should comment. Clearly, in some of the peripheral markets in Europe, there's tremendous pressure on the consumer. And we've seen some pressure there, but that's not material to the Ford Credit business.
Adam Jonas - Morgan Stanley, Research Division: Okay. Finally, quick one. Just North American model launch disruption this year: Fusion, Escape, MKZ, the big ones. Can you kind of try to dynamic when it's most disruptive, when we'll start seeing the benefit? I'll leave that more open-ended for you to describe to us so we can have a better understanding quarter by quarter, please.
Lewis W. K. Booth: Yes, we've got a huge amount of product launches -- not just the major car lines you're talking, but continued expansion of EcoBoost, for example. The biggest periods of launch are the second and third quarter, but you can expect us right through the year to have a lot of launch activities. So in the second and third quarter, you'll, in particular, see some manufacturing launch losses. But you'll also see we've got capacity actions. So we've got third shifts coming on in 3 of our plants, with a second shift coming on in Kansas City truck. And they're spread, I think, mostly in the first half. And then you'll see -- if you think about structural cost, you'll see the advertising and sales promotion that goes with all those product launches. So I mean, actually, it's going to be a pretty busy year. I know Mark is sweating with the thought of it, but excited because -- I just want to get back to the thesis. If you come on to our stand [ph] at Detroit, you see what our future looks like -- I mean, just great product.
Operator: Your next question comes from the line of Brian Johnson, representing Barclays Capital.
Brian Arthur Johnson - Barclays Capital, Research Division: Yes, rather than rehash guidance, one really question for Alan. How would you say you're managing the company differently, along with Lewis, in an era where we're looking at some macro downturns in Europe and South America as opposed into the rising environment we've generally had over the last 3 or 4 years? And in particular, how is that affecting the cost discipline? Are you looking for faster cost takeout than you normally might have looked at? How is it affecting how you're monitoring pricing, which seems to be holding up even in the face of some of these weakened macros? And are there kind of other changes, say, for example, in your Thursday meetings as we go forward?
Alan R. Mulally: Oh, you bet. Well, it's just fantastic. The way we manage the business has enabled us in the past and now to move decisively to the changing conditions. And to your point, every Thursday, we review everything: macro environment worldwide; also where we are versus the plan; areas that need special attention. Clearly, what we're working on now for this year is to continue to improve an already very well operating operation in North America. We're strengthening and growing our profitable South American operations in the face of the increasing competition, as we talked about. We're ensuring that our European operation remains on track to deliver sustainable and appropriate returns in an uncertain environment, as we've discussed, using our ONE Ford plan; and of course, continuing to implement growth and increasing profit contribution from Asia-Pacific going forward; and as we've covered today, continuing to really perform in Ford Credit. So if you look at all that together, then you come back to our plan, the thing that's enabling us to respond decisively around the world is the fact we have dramatically simplified and focused our Ford plan. So we're continuing to match production to the real demand. We're continuing to accelerate the development of new products. And as we just talked about, we're looking to accelerate getting the value out of our ONE Ford plan, led by the global platforms and the simplification of the product line and also expanding our market presence around the world. So the ONE Ford plan, the way we manage the business is continuing to serve us very well.
Brian Arthur Johnson - Barclays Capital, Research Division: And in particular, as you kind of look at markets like Brazil, how do you make the trade-off? Would you -- if the pricing -- a, is the pricing deteriorating there and you're standing out, and that's why share is declining? And is there a point at which you would accept even greater volume declines?
Alan R. Mulally: Well, as you well know, the fundamental strategy is to manage for profitable growth. And in Brazil, specifically, as we've talked about, the market is becoming more competitive. And again, based on matching the production to the real demand -- and also in Brazil, the introduction of all the new vehicles that we have that are moving onto the global platforms for the first time, we're going to be able to work the revenue side even much better in addition to working our fundamental productivity with the global platform. So Brazil is going to continue to be a really good market for us.
Operator: The next question comes from the line of Matthew Stover, representing Guggenheim.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: I had one sort of administrative question, a real question. The first question is on materials and the commodity hedge. What was the full value of that? I must have missed it -- in '11, Lewis.
Lewis W. K. Booth: Total year-over-year increase was $2.3 billion.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: That was on the hedge?
Lewis W. K. Booth: That was commodity and hedge. We haven't split them out this time.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: Okay. I mean, so when you make the comment about the commodities, then it's off of that base? We don't see material improvement or change at all off of the...
Lewis W. K. Booth: Year-over-year, we expect a slight increase, but we don't expect it to be material.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: Okay. And then the other question is, Alan, you made a comment about Europe running at 93% capacity utilization, and the business right now is losing a couple hundred million bucks. I recognize that there's a structural issue in Europe. There's just way too much capacity. Given that high level of utilization, do you folks look at your fixed asset base and feel as though you need to do something?
Alan R. Mulally: Well, we are. And I think that's an important question because we're continuing to utilize even more our lower-cost operations in Turkey and Romania. And we're also -- as you know, we've just signed a very mutually beneficial joint venture with Sollers in Russia. And so we are nearly tripling our production capacity there to serve the Russian market, which is going to be, over the next year or so, probably the biggest market in Europe. So we'll continue to look at the balance of our production throughout Western and Eastern Europe and Turkey. But again, I think the most important thing, as Lewis mentioned, is that we have continued to work the structure and the competitiveness of Europe over the years. And this is just a tough last year, especially with the commodities and the economy slowing down and the industry slowing down. But I think the fact that we have been working and we continue to work is -- I think we'll be in very competitive shape going forward.
Operator: Your next question comes from the line of Colin Langan, representing UBS.
Colin Langan - UBS Investment Bank, Research Division: Can you comment on South America? The margins fell pretty significantly in the fourth quarter, and you seem to indicate that the margins will be lower next year. I mean, is the fourth quarter abnormally worse, or is that going to be the new run rate? And also, I know there were some import taxes in Brazil that came into effect in December. Is that going to help in the first half of the year as some of your competitors are kind of pushed out of the market there?
Lewis W. K. Booth: Let me try and give you a sort of slightly broader answer. I think what we're seeing in South America and Brazil, in particular, is a sort of a change in the environment. The way the real has strengthened so dramatically has attracted people in, importers that typically hadn't been a big player in the marketplace. And that put pressure on pricing for a couple reasons. One, just increased competition. And secondly, those importers were bringing in global products, whereas historically, most of South America was really operating on legacy products. So what we've seen is -- in the typical past of Brazil with high inflation, high local inflation and the exchange rate variability, we could price to offset that. What we saw in the fourth quarter is that ability to price to offset -- in the fourth quarter, both pretty high local inflation and deterioration in the -- weakening of the currency, we couldn't price to offset that. As we look forward, I think the real key is we are moving towards our global products. And we'll see, starting in the second half -- and no secret, we showed it at Delhi, the new EcoSport, a tremendously important product for South America. And starting from then, we'll potentially have a complete transformation of the product line from historically legacy platforms and local solutions to global platforms and global solutions. And by the mid-decade, we'll have 16 new products, 15 of which will be on global platforms. So I think that's the sort of transition you can see in the market. And I think -- as you think about 2012, I think we would expect to see the second half better than the first half because of the launch of the new products.
Alan R. Mulally: I might just add also that in the fourth quarter specifically, nearly 50% of that deterioration was exchange. And just one more comment, building on what Lewis shared, is as we introduce our new ONE Ford global platforms, we're going to be increasing our market coverage from 67% up to nearly 82% with our new family of vehicles. So we have some real opportunities to serve new market segments going forward also with products that are going to have a lot more value and a lot more competitiveness.
Lewis W. K. Booth: And I talked about EcoSport in the second half. I should also -- we're very excited about Ranger because Ranger is going to be important around the world, and it's going to be in South America in the second half of this year.
Colin Langan - UBS Investment Bank, Research Division: Okay. I guess just 2 more quick ones. I mean, any color on what you're expecting for FX next year? It seems to have been an issue this quarter. And any comment on structural cost? It's up $2 billion this year. At what point does it sort of hit a plateau where the incremental growth is no longer that large? It sounds like you've been doing maybe some global catch-up over the last few years.
Lewis W. K. Booth: Well, in terms of our structural cost, we still got some period to go because, as we said, we broke ground on 4 new plants in Asia-Pacific last year. We've got 7 plants in Asia-Pacific under construction now. As our volumes grow, we'll have increased manufacturing cost just because of our volumes growing. And as we want to continue to improve our brand, we'll have increased advertising and sales promotion. So I think it's too early to say we'll get to a plateau. It's something we pay a lot of attention on in the Thursday meetings. It's something that gets discussion at every Thursday meeting. In terms of foreign exchange, I wouldn't want to guess on that.
Alan R. Mulally: But clearly, it's part of our plan to grow towards that mid-decade guidance that we gave, that we're going to move up to around 8 million vehicle production, as well as moving the guidance up to 8% to 10% -- the margins up to 8% to 10%. And that's fueled by especially the growth in Asia-Pacific, as Lewis mentioned, both on the product line coverage as well as the new production facilities.
Operator: Ladies and gentlemen, at this time, we would now like to welcome questions from the media community. [Operator Instructions] Your next question will come from the line of Dee-Ann Durbin, representing the Associated Press.
Dee-Ann Durbin: You talked about the loss of U.S. market share in the fourth quarter. Since the retail share remained the same, I wanted to talk about the fleet, apparently, that you're losing. Is it good fleet? Is it bad fleet? What's going on with fleet?
Lewis W. K. Booth: Dee-Ann, I think, really, it's more noise than any signal. I mean, it was only a very small change, so I don't -- we don't see any signals in that. It's just the timing of the orders.
Alan R. Mulally: And Dee-Ann, like we've talked about, the fleet is really good business, dominated by the companies, and a very big and important part of our plan.
Dee-Ann Durbin: I just wondered if you were -- I mean, are you losing, for example, police contracts, taxi, that kind of business?
Alan R. Mulally: No, not all. And just with that one specific, I think our new Interceptor, and the fact that it was designed in concert with the police throughout the United States, is going to be a terrific product for them.
Operator: Your next question comes from the line of Ben Klayman, representing Reuters.
Ben Klayman: Today's GDP numbers show inventories accounted for a big chunk of the economic growth in the fourth quarter, and I was just hoping to get your guys' insight as to are you guys still ramping up inventories, are you keeping them stable or letting them run down? And sort of what signs are you picking up about the strength of demand from U.S. consumers?
Lewis W. K. Booth: We're being very careful on inventories. In the U.S., we had some dealer stock build in the fourth quarter, but it was really to make sure we had the inventories that are now -- to support the going rate in terms of days supply. I think we're at 58 days, which is just slightly actually lower than our typical level. So I think, as you've seen over the last several quarters -- in fact, several years, Mark and the team have done a really nice job of matching our production with demand. We do see our running rate -- the industry running rate is going up. So you can expect to see dealer stock levels increase a little bit as the industry goes up, but not our days supply. We'll keep our days supply well under control.
Alan R. Mulally: We've talked about this a little bit. This is a slower recovery than we've had from recessions in the past, but it's a very important recovery. The guidance that -- or the economic expansion we see now in the United States is going to be between 2% and 3%. And also, we've moved the industry volume up from 13 million units this year to between 14 million and 15 million next year.
Lewis W. K. Booth: 13.5 million to 14.5 million.
Alan R. Mulally: I'm sorry, 13.5 million to 14.5 million next year. And the neat thing about that, too, is that with the average age of the vehicles getting closer to 11 years, that the consumers really do want to obtain the value and the fuel efficiency of the new vehicles. So we got a number of things in here that look really well for us going forward in the market.
Ben Klayman: Okay. And then one other quick question I just had about freight cost, and I was hoping you guys could provide some color as to where you're seeing that. Is it in the U.S., and is it rail? And are you going to be able to pass that on to the customers?
Lewis W. K. Booth: The freight cost increase we've seen is really associated with the premium freight we've had to enable to support our plants for a couple of reasons. One, during the year, as we went through the tsunami crisis and then the Thailand crisis, we had to sort of accelerate our supply lines by putting stuff in air and premium freight. And then as we've grown, our suppliers in 1 or 2 cases have struggled a little bit to keep up with us. And again, we've had to have some premium freight to keep the plants going. So it's more expedited freight cost levels rather than specific ambient freight costs.
Operator: [Operator Instructions] Your next question comes from the line of David Shepardson, representing the Detroit News.
David Shepardson: Lewis, you talked about other strategic actions you're considering with the pension plans. Are you considering a hourly pension buyout program?
Lewis W. K. Booth: David, when we're ready to talk about our other plans, we'll talk about it at the appropriate time. We're not ready to talk about things we have in mind.
David Shepardson: And how many years do you think it will take until you can fully fund your pension plans?
Lewis W. K. Booth: Well, as we guided, we expect, with both asset returns -- a return to a more normalized discount rate -- I mean, the discount rate is at historic lows, and our cash contributions, we expect overall, our funded pension plans to be fully funded by the end of the plan period, so in the next few years. Obviously, there were 3 caveats you just heard, but that's what we expect.
Operator: The next question comes from the line of Alisa Priddle, representing Detroit Free Press.
Alisa Priddle: You've talked a lot about North America being the real driver in the fourth quarter. Can you give us a little bit of context of how dominant you think the role of North America will be in 2012?
Lewis W. K. Booth: Yes. I mean, we would expect North America to continue to be an extremely strong contributor to the business, I think, for a couple of reasons. One, it is our largest business unit by some, and more importantly, it's operating in a gradually expanding environment. And then also within North America, by far, the dominant part of Ford Credit's profits are earned in North America. Europe, you've heard us express some caution about giving guidance. South America, we expect to be strongly profitable next year, although perhaps a little bit lower than this year. In Asia-Pacific, we expect to return to profitability. But within that context and within the fact we're investing for the future and many of the other reasons, we expect North America to be a very strong contributor to 2012.
Alan R. Mulally: One of the neat things about North America, too, is it has the widest -- and most of all the members of the complete family of best-in-class products. And so it really is the engine also for supporting our growth worldwide.
Alisa Priddle: And in terms of net pricing, can you give any kind of color on -- now that you're adding the Fusion, completing the car line, what kind of effect do you think it might have?
Lewis W. K. Booth: As I said earlier, we expect to see continued net pricing opportunities. We're seeing a fairly stable pricing environment in the U.S. And as our products continue to get great, every time we launch a new product, we close the gap. And I think we'll continue to do that.
Operator: At this time, I'd now like to hand the call back to management to proceed to closing remarks.
George Sharp: Well, thank you very much, Katina. Well, thank you, everyone. That concludes today's presentation, and we appreciate all of you joining us today.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.